Stéphane Richard: Good morning. Thank you for joining our Q3 2017 Results Conference Call. I will start with Slide 4 which presents the main results and at the end of the session with my colleagues we'll be ready to answer your questions. So turning to Slide 4, you can see that in Q3 revenues kept increasing, thanks to growth in almost our entire footprint, we now serve a total of 269 million customers, a growth of 2.4% year-on-year. The positive commercial momentum since the beginning of the year in the Africa, Middle East compensated the negative effect of the identification process that we have seen in 2016. France also posted an outstanding commercial performance with 320,000 net hands on mobile contract of which nearly 60% on the high-end offers. And European 4G and FTTH bases grew by 29% and 47% respectively year-on-year. This quarter revenues increased by €95 million, 0.9%, driven by France confirming return to growth, accelerating growth in Africa, Middle East, and strong results in Spain and Central Europe. Adjusted EBITDA increased by 2.1% year-on-year fueled by growing revenues and cost efficiency. More than two-thirds of revenue growth was transformed in adjusted EBITDA with - we take an adjusted EBITDA margin up by 0.5 point year-on-year. This performance is once again driven by strong momentum in Spain, Central Europe, and also Africa, Middle East. CapEx was up 2.5% supporting our ongoing investments in very high broadband networks. The CapEx level in Q3 is fully in-line with our full year outlook of €7.2 billion. Let's now turn to the next slide and the results of our convergent strategy; convergence remains a strong acquisition tool for both for initial and follow-on services. We now provide convergence services across our full European footprint with a total base of 10 million B2C convergent contracts growing at 11.6% year-on-year. Convergence is also a powerful retention tool resulting in a much lower churn for both fixed and mobile components. When comparing convergent fixed broadband contracts to all fixed broadband contracts we see a churn improvement of 4 points in France, 9 points in Spain, and 2 points in Poland. Also in Q3, convergent B2C revenue grew by 9% in France, 12% in Spain, 31% in Poland, demonstrating once again the relevance of our convergence strategy as a key driver of our topline growth. Let's now take a look to our telecom financial results starting with revenues. This quarter revenues increased by €95 million versus plus 0.9%. France confirmed the return to growth at plus 0.2% against 0.5% in Q2. Spain pursued with a very slight growth at 6.4%. Romania posted again a double digit growth at 10.4% plus, and Africa, Middle East continue to improve with 3.1% plus versus 2.7% in Q2 0.7% plus in Q1. Turning to the adjusted EBITDA for telecomm activities, Q3 growth was at 2.3% versus plus €82 million despite the impact of the European roaming regulation. Excluding European roaming impact, adjusted EBITDA would have grown by 4.7% in Q3 compared to plus 3.1% in Q2. Our adjusted EBITDA margin also improved by 0.5 point to 35.4%, thanks to the topline improvement and ongoing efforts on cost efficiency. Excluding the impact of EU roaming regulation our cost base decreased by €56 million, mainly driven by non-labor indirect costs decrease such as G&A expenses minus €36 million in network and IT minus €13 million. The average full-time equivalent employees of telecom activities decreased by 2.7% in Q3. Finally, Slide 8; our investments, our telecomm investments stood at €4.8 billion for the first nine months of the year. A CapEx to sales ratio of 15.8%, a year-on-year increase of €97 million, mostly concentrated in our Africa, Middle East and Europe segments. In France, we maintained our focus on very high broadband with growing FTTH investment and an [indiscernible] in 4G. In Spain, the CapEx increase was linked to the stopping of our joint fiber deployment with Vodafone. And in Africa, Middle East our growth in CapEx was mostly due to the rollout of new 4G mobile sites especially in Morrocco, Egypt, Ivory Coast and Senegal. Last quarter we launched 4G in Egypt and Mali [ph] overall, and given the usual seasonality in CapEx this nine month level of investment is once again fully consistent with our 2017 outlook at €7.2 billion. Let's now turn to our business review on Slide 10. Starting with fronts, Q3 was very positive for the second quarter in a row at 0.2% revenue growth. This performance came from strong growth in broadband and fixed wholesale. There were also several instances of more formal bankbook repricing including from Orange in mobile and in fix. Despite the new roam-like-at-home EU regulation mobile services performed very well. We have a minus 1.6% in mobile service revenues. Excluding EU roaming and national roaming, the underlying mobile service revenue trend approached stability at minus 0.3%, this is to be compared to the minus 0.5% in Q2 and around minus 1% we had in the previous quarters. Fixed service revenues grew at 1.9% versus 1.1% in Q2 versus the best performance in the last 10 years. And this is thanks to a fixed broadband growth at 4.8% and the fixed wholesale very robust growth at 5% driven by a ramp up in fiber core financing and the January 2017 increase in the ULL tariff. Convergent B2C revenues grew by 9%. In France, the commercial performance was exceptionally strong this quarter, both, in fixed and mobile despite very competitive markets with almost permanent promotions. In fixed we posted 180,000 broadband net adds of which 145,000 in fiber, the same record level as of the fourth quarter of 2016. 59% of those FTTH net ends were new customers to Orange, this is to be compared to 45% in Q2. Mobile contract net adds reached 320,000, this is the best quarterly performance since 2008 with close to 60% on premium offers. We had a positive portability balance against each of our competitor; this is the first time since the entry of a fourth mobile player in France. Convergence has supported our performance both in fixed and mobile. We are currently focusing our efforts on increasing the number of mobile lines per convergent household targeting all market segments including at the entry level with attractive offers for youngsters and teenagers; and for the first time more than 80% of new convergent customers were new fixed and/or mobile customers, very interesting figure. The convergent broadband churn rate was 4 points lower than the overall broadband churn rate, it's even 9 points lower than the non-convergent churn rate. In Spain, overall revenue grew by 6.4% in Q3 with fixed broadband and mobile services with the same growth rate as in Q2. This performance was driven by mobile revenue growing at 7.5% fueled by 4.7% growth in the contract base and 5% growth in the mobile quarterly ARPU. The fixed broadband revenue increased by 8.3%, thanks to the increase in FTTH subscribers and in the TV base; also by an increase in the broadband quarterly ARPU of 4.5%. In Spain, convergent revenues grew 12% to €544 million driven by a 3.5% growth in the number of convergence offers and a 7% growth in the convergent OPCO to €58.7 per month. Total revenue growth was impacted by a review in optimization of international wholesale traffic with a greater focus on margin. With all this effect total revenue growth in Spain would have been in-line with previous quarters. Turning to the commercial performance in Spain, Slide 14. Orange [ph] Spain is forming a value driven strategy centered on the convergence by growing and migrating it's base to 4G and FTTH. Also by offering its customers an enriched connectivity with best available content. We posted solid fiber net adds with 137,000 against 141,000 last quarter reaching a total number of 2.1 million customers on fiber, this is almost 50% year-on-year growth with a fiber penetration of 50% of our broadband base; this is plus 15 points year-on-year. The third quarter was also strong in PayTV net ads, the TV base increased by 30% to 593,000 thanks to the start of the new football season. And with regards to convergence, Orange continued to be the most dynamic operator in Spain having the highest penetration of B2C convergence in its fixed broadband base, now at 83% versus very impressive, and it's also a 9 points less churn of an all fixed broadband contracts. So all in all, in Spain in a more competitive landscape, Orange Spain remains focused on value and is more than confident to deliver a full year adjusted EBITDA growth, at least in line with H1 2017. In Poland, the fixed broadband customer base increased by 10% with another strong net additions level in Q3 at plus 54,000 and a fixed broadband revenue growth at 6.6%. This is the result of firstly our convergence strategy, with Orange LOVE also launched in Q1 representing 47% of our B2C broadband customer base at the end of Q3, a 15 points increase year-on-year. And secondly, our investment in the very high broadband covering now 2.2 million FTTH connectable homes and 83% plus year-on-year increase. Net additions in mobile contract continued to be strong at plus 89,000 reflecting a more balanced approach between volumes and value with a simplification of our offer portfolio and the more for more approach. This strategy of value is delivering results and consequently Orange Polska announced this morning an upward revision to its 2017 adjusted EBITDA guidance. In Belgium and Luxemburg, the third quarter was also marked by a strong commercial dynamic. In Belgium we have plus 15,000 post-paid net adds in combination with a strong postpaid ARPU growth of 2.7% which proves the relevance of the company's value strategy in accommodating the market shift to a higher data usage. Despite continued promotional activities of the convergent players we recorded a plus 16,000 Orange LOVE net adds reaching 75,000 B2C convergent customer base. And as a result, the total turnovers to that 316 million in Q3, this is an increase of 1.7% with growth in both, mobile and fixed service revenues despite also in Belgium as in all our European countries the European roaming impact. Let's turn to the Central European countries where revenues confirmed their previous strong growth in Q3 at plus 6.9%, it was 7.1% in Q2. Growth here was driven by a second quarter of double digit growth in Romania, plus 10.4%, thanks to a mobile postpaid customer base growing at 2.1% plus and also a data usage increasing linked to 4G. And Moldova posted a 5% revenue growth, plus 14% mobile postpaid customer base growth. Romania, Slovakia and Moldova just joined the convergent family with the launch of Orange LOVE offers and so LOVE is now everywhere in Europe which is a very good news. In Africa, Middle East; revenue growth accelerated to 3.1% in Q3 after 2.7% in Q2. This is driven by an improving trend of the Sonatel Group compared to Q2 with a very strong group in Mali and Guinée. Also good performance of new operations, especially booking FSO at plus 28%, a second quarter of high single digit growth in Morrocco and also an encouraging recovery of Egypt which has been growing up by 1.4% in Q3 following a decrease of 1.1% in Q2. The main business drivers of this improving performance in Africa, Middle East are as in the previous quarter's mobile data growing by 38% and Orange Money who is boosting a still impressive 60% revenue growth with now close to 11 million active customers. So we can say now that the customer identification process is behind us, thanks to a strong commercial dynamic since the beginning of the year. We have now compensated the negative effect of this process on the mobile customer base and we now have one - more than 126 million customers in Q3. We also have been continuing our investments in the rollout of the 4G network launching recently in Mali and Egypt. Turning to enterprise; as expected the Q3 revenue trend was better than the previous two quarters, thanks to a very good commercial performance in mobile with plus 32,000 mobile net adds in Q3 and some new contracts. Voice and data trends are in line with the previous quarter, still under a pressure of legacy to IP shift. In line with our strategy to focus on IT and integration services, security and cloud continued to deliver strong results with respectively plus 17% and 37% of revenue growth. And I would also like to signal that following this strategy and in order to accelerate our growth in data we have signed during the night an acquisitions of close to 64% of the capital of Business & Decision, an international group of consulting and system integration. This acquisition of Business & Decision and its expertise in business intelligence and data signs will significantly strengthen the activities of Orange business services in the governance and data analysis in France and internationally. So I will now close with the Slide number 20 on our guidance where you will not be surprised that with these very solid results we fully confirm our full year guidance of our group adjusted EBITDA above 2016. On a comparable basis, we would also maintain our debt-to-adjusted at telecom EBITDA ratio around two in the medium term. Regarding the dividend for fiscal year 2017, you know, that we will propose in 2018 at the General Assembly a dividend payment of $0.65 and we will be $0.25 interim dividend on December 7 and regarding our portfolio management policy we confirm our selective approach focused on our existing footprint. We will take your question now, but of course, I guess I don't need to remind you that we will have an Investor Day in London on December 7 at 8:30 London Time at the Pullman Hotel, and it will be an occasion for us to talk about growth, to talk about operational excellence and value creation at Orange. Thank you for your attention. We now - we will like colleagues ready to answer your questions.
Operator: [Operator Instructions] First question comes from Nicolas Cote-Colisson of HSBC.
Nicolas Cote-Colisson: Thank you. I've got two questions. The first one on CapEx, I was wondering if you could indicate when peak is to be reached with maybe some granularity on the per country or region? And my second question is on France, I was wondering if you think you can now apply more pricing power beyond the selective price increases that you've had in mobile back in July? And I was wondering if pricing poll could also apply to fixed broadband in France? Thank you.
Ramon Fernandez: Okay, so this is Ramon, I will take the first question on CapEx and then Fabienne will take the question on France. So, once again we'll come back in much more details in December when we will meet in London but what I can just repeat is that as we have said continuously over the past weeks, maybe months, in 2017 we will be at €7.2 billion. Second, we said that we would reach for peak at group level in 2018, so as a matter of consequence 2019 would be the start of the decrease. We have also as indicated, previously engaged during the summer periods on lean CapEx program, it's an approach which is meant essentially to deliver the best impact with every euro we are investing and so the whole group is focusing on this exercise, we'll be more explicit on this, on December 7. But this exercise is mobilizing many people with a lot of enthusiasm and creativity in the group, so this is where we can - this is where I can draw a picture now. In terms of granularity, I think it's a bit early to go into such a level of details but I think you have a big picture and we are very clear on the big picture.
Fabienne Dulac: Fabienne Dulac speaking; so to answer to your question, we are carefully monitoring the market because we know that the French market is sometime unusual. What we can see currently it's - we have two movement, a very turbulent and aggressive mobile on the mobile still, especially on the low end market. And in the meantime we observed price increased by all competitors as you can see this summer especially and focused on broadband, so we notice transport of value from mobile to fixed line, it maybe a new start for a new positive trend, I hope so. We noticed too all the promotions seems to be less attractive, so we are very carefully but we are - I think in a positive trend.
Nicolas Cote-Colisson: Okay, thank you.
Operator: The next question comes from Jakob Bluestone of Credit Suisse. Please go ahead.
Jakob Bluestone: Hi, good morning. I've got two questions as well. Firstly, maybe just following up on Nicholas question on CapEx; could you maybe just comment if you're comfortable with the current consensus CapEx for 2018 of about 7.3 and 2019 of about 7.1; I'm not sure if you want it to be quite that specific. And then just secondly, I think you said during your presentation that you take mobile subs from all the different operators, you also have strong fixed line adds; can you possibly comment on, is it the same thing that you're taking steps sort of evenly across the board or is it sort of more skewed towards one? Thank you.
Stéphane Richard: Okay. So I think we have loud and clear your questions about CapEx. I hope you are also interested in the results that these CapEx are delivering; just look at the Q3 results for instance for - just for one minute, and you will see that the adjusted EBITDA, now telecom activities is growing more rapidly than our CapEx and so our operational cash flow is growing; I hope it's something that you are considering. Now, once again we are absolutely mobilized in very strict discipline on our CapEx programs, once again, the lean CapEx program is meant to ensure this discipline. And so we will see - I don't want to comment honestly, a consensus for 2018, 2019, or I don't know what. We will do this in December, we will provide some guidelines for the future. But just also take a minute please to check what is behind these CapEx efforts. If your performance of a group is supported and driven by a strategic choice we have made to invest in fiber, in very high broadband, this is going to be for the future, a very strong differentiating factor for the group when you compare us to our peers; some of them will have to catch up in the future, this effort will be behind us and this is why we are capturing market share, increasing revenues, increasing margins. So I don't want to escape your question on CapEx, we all have this question on the top of our mind but let's not forget that we are not just following CapEx for the pleasure off investment, it's also because this is driving the performance of the group and we are creating value with these investments.
Jakob Bluestone: Very clear.
Fabienne Dulac: On the second question, our back-to-school strategy focused around two main objective, to better address the first time mobile owner and accelerate convergence penetration; and in the same way, the proliferation of the mobile line in household has been successful and for the first time, right, we notice a net positive portability result; so with successful winback more customers from its competitors and we lost, so it's a very good point.
Jakob Bluestone: Thank you.
Operator: The next question comes from the line of Stephan [ph] of Raymond James. Please go ahead.
Unidentified Analyst: Thank you. I just like to follow-up on the credential performance in France, again, quite strong in mobile and fixed. Can you just elaborate whether you think that the third quarter performance reflected perhaps more of the positive impact from the changes in pricing, some of your competitors are down or was there any - you know, or it was more related to sort of back-to-school strategy and specific marketing actions that you've done in the third quarter because you mentioned the convergence strategy as well but I guess it's been there already for a long-term, so I was just wondering on the commercial performance and whether you think that that can continue. And my second question is also regarding Spain; there - can you elaborate just a little bit more on the competition in the fixed proven market because you were quite strongly positioned with two good brands and we can seem to put them in market that the third quarter was a little more difficult; so does that reflect anything specific? I think you've changed your deal with your marketing strategy at Just Dial [ph] or what is just the market or all and some of your competitors more aggressive? Thank you.
Fabienne Dulac: So we recorded - yes, a strong commercial dynamic and I explained that was different reasons. First of all, I think the result of the strategy was different since a long time. The strategy of the quality - quality of the network to be connected now is really mandatory for customers and I think that helped to change and to drive an evolution of customer consumption in their choice, first of all. The second, we launched an attractive offer, yes, targeting household and families and it was successful. Third point, our competitors applied a retro-fee tariff increase on their customer base and that generated a favorable winback, so it's another point. But overall, for me this is a validation of the strategy we have on the fiber - on the convergence, and overall the quality of the network and the customer experience.
Stéphane Richard: Thank you, Fabienne. We now turn to Laurent Paillassot, the CEO for Spain who is online with us.
Laurent Paillassot: Hi to all of you. You had mentioned on the competition, it's true that Q3 has been quite a strong and back-to-school with all the promotions; basically as Ramon mentioned, we remain focused on value creation on the high broadband; if you look at our results, net adds in FTTH, we maintain leadership in Q3 with 140,000 FTTH, on the ARPU we are growing the ARPU on both, on fixed broadband and on convergence 5% and 7%. The revenues are still strong, growth 8.3% on fixed broadband, 12% on convergence. And overall, our EBITDA growth trend continue to improve. So the debt is still rebranding and just a new portfolio of offers has been launched only Monday, so it has no impact on Q3 but it's true that we were preparing this launch; so again, our focus is value creation and EBITDA growth.
Unidentified Analyst: Thank you. Any specific action from one competitor that you would highlight in that third quarter that had some impact in the market?
Laurent Paillassot: Well overall, we see mobile is delivering well and we see Vodafone overreacting, that's our view of the markets.
Unidentified Analyst: Thank you.
Operator: Thank you. Our next question comes from Frederic [ph] of Bank of America Merrill Lynch. Please go ahead.
Unidentified Analyst: Good morning everyone, sorry to come back on the CapEx point. First of all, if you could clarify the framework of negotiations with the government on increased mobile coverage; what would you be willing to do from a coverage perspective? And how would that translate into overall financials? I here there is a comprise around spectrum renewal [ph] taxes versus more CapEx. Secondly, I'm going to try again on the previous questions but if I listen to your official communication, my question is very simple; for 2019, should we expect CapEx to be above or in line where we are at 2017? And then if I may, a quick question more broadly on content; if you could help us frame a little bit the - again, up as agreement in terms of investments; the press was talking about €150 million [indiscernible] earlier this year; can you clarify a little bit how - what the structure of this agreement would scale out and the revenue expectations around it? Thank you very much.
Ramon Fernandez: This is Ramon. I went on to Pierre and to Fabienne; Pierre will talk about the general discussion general discussion with the public authorities in France on the very high broadband investment and maybe on canal and maybe I will just one word on content but on CapEx for 2019 as we said during the half year communication we will have a peak in 2018 which seems to imply that it would be slightly higher than 2017 otherwise the peak would be in 2017 so we will be slightly higher in 2018 and once again this should be the peak so we will give you more info on the December 7th but we want to be sure you will come to London on December 7th so we want to keep something to give you on this date and you will have to be patient until then but once again I know I am repeating myself but I think you have a figure for 2017, we gave it a few months ago we're sticking to his figure, we will be slightly above slightly in 2018 please take a few minutes just to look what these investments are delivering I know you are but you know just in case and we'll explain in two or more details how this is creating value will come back to the fiber program etcetera so just take some time to do this and we will give you more info in December. And look at the EBITDA perspective, look at the operational cash flow, look at all these figures. Just take this extra second that if you neutralize the impact of European roaming EBITDA we addressed EBITDA is growing by 4.7% on the third quarter just look at this one for instance this is a [indiscernible] and tis is supported by these investments once again with a lot of discipline but this is what it is supporting the performance of the group and it's you know I understand all your questions on CapEx but let's look at the broader picture of what is supporting the performance of a group. I don't know how to say it differently we'll see it with some hard ratios and figures and in December. So well let's turn to Pierre for the first question on mobile but I think Pierre will give you a broader answer.
Pierre Louette: If I heard your question well it was about both fix and mobile and the general discussion that is ongoing with the government and also with the regulator. So overall maybe to start with the issue of FTTH in France has become like a total initiative [ph] in Germany you will not hear about that you will hear about cable and VDSN. In the UK I think you have less 200,000 FTTH plugs, so it's pretty special issue here and a lot of people have opinions, expressions, desires, what I can tell you is that the Fabienne's team in France where they do use in an industrial process in which we roll out and we continuously roll out more and we reallocate in order to reach the targets that we have announced and we will reach those targets. It will not be for the pleasure of the government because that's not our intention in life it will be because we want to produce a network that we will be exploiting in the next 30 years and that will give us the capacity to continuously be the number one in this market as in many other markets. So regarding the overall package discussion. This issue has become again something a bit of a public discussion we have two things under fix side, FTTH is really the architecture of every network in the future so we continuously produce more and more plugs. A couple of years ago you remember we were producing about one million connectable plugs per year. We have overpassed actually we will go beyond 2 million this year and in the area of 2.5 million next year and it is not because we invest more and more on FTTH, it's because we have an industrial process, we have teams underground, we have subcontractors that we reorganized completely and who produce and continuously produce more. By the way the government has understood one thing which is that they need to facilitate our deployments and make administrative authorizations quicker and that this also increases the industrial process and the only one actually in France during this is Orange. SFS [ph] is lagging behind in many ways, they have stopped for several years doing anything and they try to start again now but they're lagging behind but we have produced on the fix side and Fabienne I'm sure will elaborate on this what we wanted and we are completely in line with our targets. Going in the mobile side of the package again it's a deal in which we want to trade-off between the authorizations for the usages spectrum and the coverage of the country and again I think everybody understands now and even the regulator does understand to some extent that if the main goal is to have a better increased mobile coverage and no more of what we called white zones or areas in which no one gets a good coverage you need not to take more money away from the operators on the spectrum side and let them rule out the networks. So Orange does, we are well beyond the targets that were originally given to us by our licenses sometimes six or seven years ahead of the targets that had been assigned several years ago and we're beyond 90% on the 4G coverage. Every percent beyond 90 is of course that's more difficult to reach than the previous ones but this is going on also opening new sites and to some extent to a limited extent I think we are ready to neutralize equipments with our competitors in a very small part of the country and again on this side Orange has been declared the best mobile network for the seventh year in a row this year and I think we're pretty safe that it will continue in the future. So that goes to the package that is discussed with the government.
Stéphane Richard: And the third question, our partnership with Canal+ sustain our content strategy to remain a smart distributor and to support fiber acquisition. I just want to recall there is two part in this partnership, the renewal of existing Canal+ distribution we have until by 2020 and the second part it's an exclusivity a new model of Canal+ [indiscernible] direct distribution with an exclusivity offer less €15 for our customers. At the other hand this new partnership won't have a [indiscernible] impact on our EBITDA and it will help us to pursue those strategy we have to conquer more fiber customers with a very exclusivity offers and very attractive and the start is very well oriented.
Operator: Our next question comes from Dimitri Kallianiotis of Redburn. Please go ahead.
Dimitri Kallianiotis: Just two questions please, the first one is just regarding regulation in general I mean we saw the [indiscernible] rates in France and the proposal from the offset for the rates to go down and they submit more noise in the EU the regulatory framework maybe a little bit less available to [indiscernible]. Just wanted to ask you more sort of broad questions about regulation and fiber in particular if you're concerned that some of that regulation may become a bit tougher for you and my second question is just on content, so coming back to your next question. The first one regarding your relationship with - is it true that you would be willing to guarantee some minimum amount of money to come out if they were to bid for the [indiscernible] next year will you be prepared next year to basically show as passports to your customers what you are forecasting the champions league? Thank you.
Pierre Louette: So regarding regulation let's start with the European regulation you remember that two years ago a proposal was published by the commission of a digital single market package and this proposal has been going to discussion in front of the parliament now and we are coming to the stage in which there is the famous trial log in which commissions, parliament and the government's through the council discuss the proposal. If you remember well we had accepted and we had actually welcomed the initial package proposal. We know that in front of the parliament some new proposals and propositions have been made by MP's which could make the package a bit less interesting but it's not the end of the game and I think we can tell with a certain level of confidence that the commission wants to see its original proposal and the proposition go through, there are three main points one is harmonization of spectrum allocation, it's interesting to know that recently France and Sweden and several other countries have given their agreement to this proposal in the harmonization of spectrum. It's very important for the commission. It's pretty important for us too because when you're an operator operating in six different European countries you want to know more or less what's going to happen in the coming years and you want to be informed in order to prepare the allocation of your funds. So this is maybe going to happen then there is one other essential point which is addressed by the article 74 of the package proposition which goes to the fiber regulation and in a nutshell it says that if you produce FTTH and if you're open to co-funding then there is no asymmetrical regulation, it's symmetrical regulation that is applied and I think this will be really defended by the commission because you have with [indiscernible] commission that is much more in favor of industry than it was in the past. They even have gone as far as describing an industrial strategy which was something unknown off in Europe previously so I think this is something you can pretty much rely on and hope for them to defend their initial proposition, that is for the European side and on the French side as you know the idea of asymmetrical regulation has been put aside by the [indiscernible] both on retail and the business enterprise market and this is something that is pretty clear today the text is not published yet but it's under discussion in front of Europe and I see no reason why it would change now. So again we have avoided what would have been obviously bad news for and for incumbents and this is not going to happen today again going back to your previous answer, the government and the regulator want to foster investment and you're not going to hamper the main investors efforts by changing the regulation whilst he's deploying more than anyone else and with more success than anyone else in terms of revenues, the networks that are expected by the country.
Stéphane Richard: On your second question, we don't choose to disclose the deal we have with our partnership and I just can say that around is [indiscernible] reasonable reselling agreement providing marketing and price condition are correct and the second part of your question I think it's a little bit early to enter. Orange represent 50% of the markets the broadband customers base represent 50% of the market. So I think it will be important for old players to have a range with them to distribute, continue what kind of company. So we will see and we will work on this.
Operator: Our next question comes from [indiscernible]. Please go ahead.
Unidentified Analyst: Two questions on my side, first is regarding the statements by [indiscernible] yesterday at the senate regarding rebalancing and in terms of fall out in good investment areas it looks pretty clear in his statement that he wants more than you to do more and so can you give us your position on this and second is about M&A in Africa there was some press speculation that you could be looking at some sets and Mini-Com is willing to sell, broader than just the three countries. Do you have ambitions to expand in Africa? Thank you.
Pierre Louette: So regarding Sebastian [indiscernible] statements yesterday he was invited or summoned by the Senate to give his opinion and opinion on today's state of deployments. You have to bear in mind that this happens as I think I mentioned previously in a context in which everyone is really, really interested in FTTH deployments and everyone is pretty focused on those topics and so I think this is important to stress because it is at this very time that he makes that kind of statement so he said you know if I look at things today there is a maybe difficulty for the operators to reach the target if you look at the text actually of what he has said and what has been published by our set you can see that most of the let's say doubts are as you as mentioned actually are relying on SFA and the two other operators because we have four main operator's in France's as you remember who are not short of deployments they just have not deployed anything so what is happening is that the regulator says you know of course our house is doing a lot, doing most of what is done, sometimes the same regulator will also say ours is doing too much so you know we have to watch the statements as a continuous sequence and then he says SFA has stopped, has really, really not done anything for a while and it is starting again but of course they're lagging behind because they've stopped literally for several years. Brigg [ph] has I think deployed less than 50,000 plugs or maybe even less in France and FTTH so they haven't done anything in a very consistent way that has to be underlined and [indiscernible] is a very strong co-founder which is interesting for us in terms of revenues also but not a super deployer. So this is this is really the core of what he says and in front of the senate which represents the communities and territories in France actually it's of course typical you know to come up with those statements and say I understand you guys you must be worried in certain areas of the country you don't see FTTH yes because some of our operators have been really lagging behind and not up to the expectations. Again going to Orange's position we are completely in-line with what we had announced our 12 million goal of connectables at the end of 2018 we are in line with that. The industrial process, the teams are in place and there is no reason to doubt and especially I think what the regulator doesn't see but you can understand that maybe he sees a fixed picture and this is what happens is an industrial process in which we do more and more actually because of reallocation and because of even the stronger performance in the roll out processes.
Fabienne Dulac: On your question on M&A in Africa and press reports that we would be looking at Mini-Com assets I can say there is nothing supporting these comments. We have had in the past to discussions with Mini-Com which has been concluded by the acquisition of their asset in DRC so we have both to go and integrated it with our own asset DRC but this is a done and this was last year so there is no other discussion. So this is ill-founded and what I can add is that when we look at the assets we did buy in 2016 the other free assets in [indiscernible] in Sierra Leone. We are very happy with the performance of these assets I talked about booking FSO which has been growing by 28% of this quarter but we also have good results with our assets and we all have been rebranded in range of latest Sierra Leone but this is it, we're not working on any extension currently.
Unidentified Analyst: If I could just add one question on recent press article from the dividend, I mean the extra tax you paid on dividends recently and the government has to reimburse, can you give us an order of magnitude of what was the extra cash tax that was paid and what can we expect in terms of windfall and maybe a new tax to compensate what they would remember a bit of clarification on this would be appreciated Thank you.
Pierre Louette: But I can give you an answer on the best but on the future it's very difficult because obviously nobody knows this will be in the future budget if the government decides to do something to adjust for following the decision of your constitutional court. So we don't know. What I know is what is due to us following this decision of justice is around €300 million if you take also into account for your late interest we charge with you corresponding amounts which started to run in 2012 so the figure four interest are around €300 million.
Operator: Our next question comes from Alexandre Roncier of Exane. Please go ahead.
Alexandre Roncier: I was just wondering if you could go back to some of those comments on the redistribution of those zone, I was wondering if at some point the government and regulatory is proposing a new framework under which condition would Orange would be agreeing to redistribution and would you be willing as the mention also to impose legal constrain on deployment target. Thanks very much.
Pierre Louette: So on this one again there is a principle which is constitutional actually in France which is the liberty and the freedom of commerce. Every government has to go over that principle, it's a big stronger than any government and we have a great variety of governments influence. So this is the first step, second thing is what is under scrutiny today between Orange and SFA is a commercial contract private law between two private operators and so I see no possibility for a regulator even as full of energy and enthusiasm as the one we have to look at this contract and say I will be an architect of the networks. I will being an architect of the networks I will reallocate the distribution of production between the two players this is not happening and actually as you know there is a legal discussion between SFRS and this contract but it is front of the commercial judge you know and they have not gone to the regulator to say as they could have had in the other instances to say we want to change the contract. So really this is pretty clear in terms of in legal terms, again another thing that I want to add is that we are taking now commitments, it's during the article L33-13 of the recent law. You will hurry hear of that again. Articles that say we take commitments and we accept that those commitments be judged actually by the law and by the [indiscernible] and because we are so actually certain that we can produce what we have announce we were going to produce and the one lagging behind is not as if you go back to this contract it's been signed between two private companies willing to sign, they have decided to produce a certain amount of connectable plugs and we have done our job and they haven't and now you have one of the two players the one who has been failing actually in the production that he was supposed to do who says I haven't even done what I was supposed to do but I want to do more and this is difficult to follow really in terms of reason and I think a lot of the people on the ground know it and even yesterday was a - made the statements he made, he made them in front of a senate in which there are people who are really the witnesses of the shortcomings of SFN [ph] and not the witnesses of the shortcomings of ours because we don't have those shortcomings. So again in terms of balance of power it's not in our favor it's really pretty much in our favor.
Operator: Our next question comes from Jerry Dellis of Jefferies. Please go ahead.
Jerry Dellis: Two questions please post the second quarter results management talked stabilisation in the mobile market which was allowing it to start introduce price increases in the premium segment and they also talk about contamination of the premium brand offers by the no frills coming towards an end. I just wondered whether that is a reality that Orange also recognizes in the French mover market today and then a second question just in terms of cost reduction you delivered €56 million of cost reduction this quarter, I just wanted to confirm that came from sort of indirect elements and whether you could clarify for us the types of project that lie in front of you and the potential scale of cost reduction in the domestic business on the project that you currently have ready for implementation. Thank you.
Stéphane Richard: So on the French mobile market Q3 is really exceptional for Orange, I want to recall it's an historic record since 10 years we reach and I want to highlight two point, two third of our net adds where I realize on higher market on - and on iHand [ph] offers so it's very important for us because maybe stabilization but we see a real good improvement of our mobile IM customer makes and this is a very good point. I think I answered your question.
Ramon Fernandez: I was going to turn to other question but I think what we also said which is that when you look at this outstanding commercial performance in the third quarter in France you have seen that we have 59% of this performance which is on the premium part of the market so we have been able both to have some price increases during the summer including on the bank book which was very, very new for us this two year for the next four gigs and I think we have already said that we were happy to see if there was no churn on this 1.5 million customer base so all this is going via in the right direction and we also have said that when you take away in the third quarter the impact of roaming both European and domestic, the mobile service revenues is only going down by 0.3% which is a massive improvement when you compare this to the let's see around minus 1% we hand in the 2016 quarters and have a first in the very beginning of 2017. So this price environment despite still having some promotions is going in the environment direction and the benefit for us is that the quality of the network is also driving many customers to the high end contracts which is once again the testimony of the relevance of the strategy which is just continue to invest on quality network because the customer experience will be better and people are ready to pay more in order to get a best service and this is a track we will be following. In terms of costs the 56 million the figure we have on the side once again is when you take away the impact of European roaming you know we're not supposed to talk in so many details about the direct, in-direct costs because of including for market regulations so we have to talk about it in a different way and we can bank to in December but I think you know that as we had said in 2015 and this is very much of a story we have now. The direct costs are more on the growing part especially because of content part is generating additional costs but of course this comes with better revenues and margins. And on the indirect part we as I said we have been benefiting from lower G&A expenses, the indirect part of our cost is going down. Network costs are going down, IT also costs and so all this is going in the direction that we explained into more details in the previous quarter when we had a dedicated slide on France and I don't know if Fabienne wants to come bank to it but we explained the positive impact on the digitalisation and a number of initiatives which are clearly impacting cost base in France and in France when you look at the cost base is one of in fact the most important contributors to this decrease in the cost space and in the first quarter when we've a full year we had a more general picture on the cost efficiency program of a group Explore 20:20 we will also come bank to this in December but we are continuing to work on all these issues that we talked about in more details in our previous quarters and of course HR is also contributing to this in France. Full time employees went down by 4% in the third quarter, at the group level it's minus 2.7% in terms of people. So once again on every line we are working in order to make sure that we are going to deliver.
Fabienne Dulac: Maybe just one word but it's not for this quarter but as Ramon said this won't be presented into greater details at the investor day but overall I can tell you that the savings and transformation plan Explore 2020 is already beyond its targets and we will see at the end of the year that this will be on the targets and France is a super contributor but also we need to stress that countries like Spain and Poland and the rest of Europe are very heavily contributing and actively transforming themselves. So this is an ongoing process which is already delivering above target.
Operator: We will now take our last question from [indiscernible]. Please go ahead.
Unidentified Analyst: I just want to come back to a comment you made on the FTTH and co-investment and the fact that you were had other operators had lagged in investment. Do you expect to see meaningful co-investment inflows in the future from the others maybe due to catch-up.
Pierre Louette: Maybe I can start it was difficult to hear actually the middle of your question but do we expect to see increase in investments. Well India [ph] is regularly co-investing I mean almost everywhere they can go co-invest they do co-invest so are they going to buy more and more tranches? Probably. This is very likely. SFL will also probably buy a bit more than in the past and we seems to be interested even if sometimes they discuss the prices. So overall and you can see the reflection of this also in our wholesale revenues because part of those co-investments are reflected in the wholesale built - you can see this it is growing and it is also a sign that the let's say French model and Spanish model to some extent it is working and it is delivering and it's also the reason why we want to defend the commission's and proposal in the digital single market package because yes co-investment works and for us it shows again that it's part of our future wholesale strategy if you produce the network, if you own the network you will receive co-fundings from your competitors and it will be good for your own position overall.